Operator: Welcome to the Acorda Therapeutics' Second Quarter 2019 Update. At this time, all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being taped at the company’s request. I will now introduce your host for today's call, Felicia Vonella, Vice President of Investor Relations at Acorda. Please go ahead.
Felicia Vonella: Thank you, Chris. Good morning everyone. Before we begin, let me remind you all that our presentation will contain forward-looking statements. Detailed disclosures can be found in our SEC filings, which are public and we encourage you to check those filings. I will now pass the call over to our CEO, Ron Cohen. Ron?
Ron Cohen: Thanks Felicia. Good afternoon, everyone. We made substantial progress on the INBRIJA launch during the second quarter and we're seeing encouraging signs that our efforts are gaining traction. We said last quarter that we believed it would take two to three additional quarters or into the fourth quarter of this year before we would have a strong sense of the trajectory of the launch. And this remains the case. Today, we reported INBRIJA net revenue for the quarter of $3 million. A key driver of this launch is gaining formulary access in an environment where the vast majority of payers are not covering new products in this space out of the gate. And I'm pleased to report that we completed our first major contract this one with Express Scripts and we're already beginning to see increases in access. We also achieved formulary status with several regional plans and we expect that we're going to do so with additional major players -- major payers in the near future. Lauren Sabella, our Chief Commercial Officer will follow my opening comments with additional details and analysis of the launch. In late July, we announced that the EMA’s Committee for Medicinal Products for Human Use or CHMP issued a positive opinion recommending INBRIJA approval by the European Commission. The EC will now consider the CHMP’s opinion and its decision on granting marketing authorization for INBRIJA in Europe. And we look forward to the EC’s final decision later this year. We're currently evaluating partnering opportunities to commercialize INBRIJA in Europe. Moving to AMPYRA, we reported second quarter AMPYRA net revenue of $44 million. We've been pleased that branded sales have remained higher than our internal projections and we expect the 2019 AMPYRA revenue will be greater than $140 million. That said we do expect continued erosion of AMPYRA revenue over time. I'll now pass the call over to Lauren. Lauren?
Lauren Sabella: Thanks Ron and good afternoon everyone. Through July, 4500 prescription requests forms have been received and over 1900 patients have received their first prescriptions. The total number of cartons dispensed were greater than 6200, more than 1250 physicians have prescribed INBRIJA. During our first quarter call in April, we mentioned the importance of Segment A doctors which includes all the movement disorder specialists and high prescribing neurologists who see the largest number of patients. Since then we've seen increased prescribing within the segment from 21% to 37% of these physicians. Additionally approximately 70% of these Segment A physicians have prescribed for more than one patient. I'll discuss the importance of this progress in more detail in the coming slide. We also emphasized last quarter the need to gain insurance access as a main lever to drive the prescribing of INBRIJA. As Ron pointed out INBRIJA became preferred on the Express Scripts National Preferred basic and high performance commercial national formularies and also on the non-preferred status for their Medicare Part D plan improving Access for Members with Parkinson's disease. Several key regional accounts have also added INBRIJA. With these formulary wins INBRIJA is now available without the need for a medical exception for approximately 51% of commercial and 18% of Medicare plan lives. We are also in late stage discussions with other key payers and do expect to have additional agreements for formulary placement in the near future. In June we've spent our one-month free trial program from a pilot to all commercially insured patients nationwide. This free trial program is in addition to the samples that we have distributed to physicians offices. We expect that as more patients actually experience INBRIJA, physicians will benefit from the increased feedback. During the quarter, we also reduced average distance time from 30 to 13 days due to improved insurance coverage and continuous improvement in our HUB processes. We're working to decrease this time further as we gain expanded managed care coverage. It is important to keep in mind that unlike most other therapies INBRIJA is for on demand use, therefore different patients will use the product at different frequencies depending on their needs. This will be reflected in the value of an individual prescription as prescriptions can vary from one to five boxes per month. As a reminder, the total addressable market for people with Parkinson's that have OFF periods is about 350,000. We have further analyzed this market based on primary and secondary research to characterize three different segments, the high OFFburden segment represents approximately 70,000 patients who experienced four or more OFF periods per day. The moderate OFF burden segment represents approximately 120,000 patients who experienced two to three OFF periods per day and the low OFF burden segment represents approximately 160,000 patients who experienced one or fewer OFF periods per day. This is important for INBRIJA as utilization will be dictated by the OFF period burden each person experiences. On the following slide, we will share how our data currently fits into these segments. We’re sharing this data to give you a perspective on the underlying value of the prescriptions that have been reported to date and to help you with your forecast models. The graph on this slide represents INBRIJA utilization by patients who received their first dispense in March which was the first month drug was available in the channel. This is a cohort of 75 patients whose utilization was tracked through July. The low burden segment that’s shaded here in grey consists of the lowest utilizes of INBRIJA based on how often they have refilled their prescriptions since March. This segment represents approximately 60% of patients who received prescriptions but only comprises approximately 25% of the cartons that have been dispensed. The moderate burden segments that you see here shaded in blue represents approximately 20% of patients and approximately 25% of the cartons dispensed. The high burden segments shaded in green represents only about 20% of all patients with the dispense prescription. However it's approximately 50% of the cartons dispensed between March and July. In this next graph, we added the April and May cohorts which comprise 291 and 476 patients respectively. Note that the utilization by segment has been consistent across all three cohorts. High segment patients are estimated to use between three and four doses per day, moderate patients one to two doses per day and low segment patients less than one dose per day. So in summary, early launch data suggests that about half of INBRIJA utilizations will be driven by patients in the high burden segment. As a reminder, patients within this segment are primarily seen by movement disorder specialists and we have seen significantly increased prescribing among these specialists. This segment will serve as a major catalyst for INBRIJA’s growth and long-term value. As we noted in our April call, we expect the launch will require one or two additional quarters to establish its trajectory. We are encouraged by the progress we've made in reimbursement and in optimizing fulfillment process as well as the continued positive feedback from both prescribers and patients. These are consistent with all of our market research which supports our conviction that INBRIJA will become a standard of care in Parkinson's disease. I'll now turn the call back over to Ron.
Ron Cohen: Thanks Lauren. Moving to the financial summary for the second quarter of 2019, this table outlines the key financials. Our cash and cash equivalents balance at the end of the quarter was $297 million. We continue to believe that we can become cash flow positive without raising additional capital based on our long-term projections. So highlighting our focus for the remainder of 2019 and beyond. First and foremost will be to ensure a successful launch of INBRIJA, so that as many people with Parkinson's who may appropriately benefit can do so. We believe that the progress we made in the second quarter puts us on track for an upswing in trajectory between now and the end of the year. With our recent positive opinion from the CHMP on INBRIJA’s MAA, we're looking forward to the EC’s decision by the end of the year and we're continuing to discuss collaborations on ex-U.S. commercialization with potential partners both in Europe and Japan. The approval of INBRIJA has provided validation of the ARCUS technology platform and we're now applying that platform to develop therapies for additional uses. Our most advanced program is for treatment of acute migraine. And finally not least we'll maintain our focus on controlling expenses and deploying resources to maximize shareholder value. Operator, we'll now take questions.
Operator: [Operator Instructions] Your first question comes from Cory Kasimov with JPMorgan. Your line is open.
Unidentified Analyst: Hey guys. This is Matthew on for Cory and thanks for taking my question. So my first one just wondering if you can help us understand to better understand the impact of the free trial program and what that conversion rate has been so far to paid scripts?
Ron Cohen: I’m going to let Lauren take that.
Lauren Sabella: Yes, hi. So right now we just rolled out the free trial program nationally at the end of June. So it's really only started and so we really at this point in time don't have any information to share with you regarding the conversion rates from that free trial program to a paid prescription.
Unidentified Analyst: Got it. And then I guess from my last question and I think you've talked about this before but we've seen a few other launches in the state where docs tend to prescribe a new drug. Tell me one or two of their patients going to wait a few months before offering it more broadly. I'm just curious if you're seeing a similar trend and if so how long docs are waiting before they prescribe beyond the first one or two patients?
Lauren Sabella: Yes, it's a very interesting point and one that we have also seen. So we have also seen that there's a dynamic that's been created that we actually didn't fully anticipate upfront and that is that even early adopters are now waiting until access opens before they start to write for the product. I can tell you that I've been out there in the field, I've been out there talking to physicians and those that have prescribed are telling us they're going to prescribe more. And as a matter of fact those physicians that have prescribed in the highest segment of physicians which is about 37% of those high docs, 70% of them have prescribed to more than one patient. So they see the value of the product but they don't want to be in a position where it's a heavy burden to get patients to drug. So they are waiting for the access to open before they open up their prescribing. So we agree with what you have seen.
Unidentified Analyst: Awesome, thanks for taking my question.
Operator: Your next question is from Paul Matteis with Stifel. Your line is open.
Paul Matteis: Great. Thanks so much for taking the questions. I know it's early but I was wondering if you could speak to what you're seeing in terms of the refill rate among early adopters and then maybe today could you give a little bit more color on reimbursement, how through what channel are more scripts being reimbursed. What are you seeing in the Part D segment and how much do you think of your target market is ultimately going to be Part D? Thanks so much.
Lauren Sabella: So I'm going to start with the last question first and that is right now we're seeing a pretty even split in terms of the prescriptions between both the Medicare patients and the commercial patients. And that's in term and that is both in terms of what's being written and what's being filled. So that's where we are currently. Access is a bit easier in the commercial space right now approximately 51% of commercially insured lives are unencumbered for access while right now that's only 18% of Medicare Part D lives. We expected that. It's early in the launch phase. And over time we expect that we'll have better access in Medicare Part D. That being said even with those access restrictions as I've just said 50% of the PRFs and 50% of the dispensed prescriptions are in the Medicare Part D space. Could you repeat your first question?
Paul Matteis: Absolutely. I'm curious what you're seeing with refill rates. Again I know it's early but maybe you could at least comment on some of the earlier starts from the March timeframe and how refill rates are tracking now and relative to your expectations?
Ron Cohen: Yes, Paul this is Ron. I'll take that. It's essentially, it's too early to really comment on refill rates and that's because of what we showed, what Lauren showed in the presentation with the segmentation in this market where it really depends on the prescriptions and who's getting them right. So if you're in that upper 20% of disease burden or OFF burden, you're accounting for 50% of its scripts, 50% of the boxes that are being dispensed. And it's too early to tell how that dynamic is working in other words when a physician prescribes, is the physician prescribing for one, two, three or four, five boxes and then how many of those boxes are being used by that given patient in a month versus over two months or versus over three months. And then what does that mean with respect to refilling behavior. It's a pretty broad range and variety of prescriptions. And that was the point where we really wanted to get across was that you can't look at this market as one prescription fits all. It really is that that top 20% those are worth four or five times, what the lower percent is if not more. So we're still tracking all that and as we get more numbers and more time, more importantly so that we actually get some confidence in the refill rates over time, we're going to be able to present more of that. But right now it's too early to really comment on it.
Paul Matteis: Thank you, Ron. Ron if I could just ask one quick follow-up on one of your comments, are you surprised that a greater chunk of the early adopters aren't more towards the severe end of the spectrum. It seems like usually that's how most drug launches go?
Ron Cohen: Yes certainly. So the point here is and actually we're pleased to see that it’s across the range. I've been out on rides as well and I've talked to quite a number of the docs. And what we're it really depends on the doctor you're talking to right. So there's some doctors who are absolutely in that mold where they'll start out with a more severe. There are other doctors who actually have told me point blank, I think this could be even better for my earlier stage patients who are active and working and when they have an off, it's even more disruptive to them. So we're going to continue to get a feel of this as the launch progresses we get more and more people on drug. So yes, I wouldn't say that I'm not surprised that the reality of it. I'm pleasantly surprised that there are quite a few docs that see it the way we do and the way we've always seen it is exactly that, that someone who is relatively early in their Parkinson's disease course but still has OFF periods and is still very active in life because they're younger and they have all kinds of activities including employment that the burden of even one awful week sometimes can be terrible for them depending on where it happens and when. And so everyone who has these OFF periods potentially can use the help that INBRIJA will offer and if there is a surprise to me, it's that quite a number of the docs I've talked to recognize that upfront.
Lauren Sabella: Right. And if I can just add something to that. I mean one of the things however we are targeting more to penetrate more deeply in terms of calls into the physicians who season largest number of patients. And that's the movement disorder doctors and just by virtue of the number of patients they see, they do see a higher proportion of those very severe patients that would have more often that would be in that segment of 70,000 patients. So over time when you just kind of do the math, when you start getting those physicians on board and they really start writing and adopting the product, you would anticipate that there would be a higher volume of their patients that would be more severe.
Ron Cohen: Right, that’s absolutely right.
Paul Matteis: Thanks. Yes, got it. Thanks so much for the details. Appreciate it.
Operator: Your next question is from Salveen Richter with Goldman Sachs. Your line is open.
Salveen Richter: Thanks for taking my questions. Can you just comment on the gating factors here with regard to formulary access and the rate at which you expect to get additional access to come on board?
Lauren Sabella: Yes, hi. Well we are really pleased with the first large win that we had which is the SI and as we mentioned, we've also had some significant regional wins. We also have the ability although not on formulary, the drug is available in the Veterans Administration that has a large number of Parkinson's patients and it's available without criteria which means that they do have to fill out an exception form but it's not an arduous process. So we have that on board at this point. We are very close to several other very large payers which will tip the scales in terms of having more patients with access than not. So we are right on track and actually a little ahead of what we anticipated in terms of managed care access this early in the launch.
Salveen Richter: And just a follow-up here. You've talked in the past about hitting the target 2000 high volume prescribers. How do you, I guess maybe just help us understand the time period to get access to that, that target group?
Lauren Sabella: So we're pleased with where we're getting. So again, so it’s about 1200 physicians that are really 1200 to 1500 that are really important physicians. And of that group currently 37% have written for the product and 70% of them have written for the products for more than one patient. So we do have some work to do to get to the next group but that also gives us more opportunity because we still have another 60% of those physicians just get to start prescribing and a lot of these are the physicians that we talked about earlier. They're waiting until the access opens. So that's where we are in terms of the reach of those most important physician.
Ron Cohen: Right. And I'll just add that beginning with our call last quarter where we said it was going to take a few quarters. This is what we were anticipating that there's a process involved which means that you have to address the managed care issues and get on formulary and get the burden of prescribing off the table. So you don't have medical exceptions, you don't have peers to peers and you get that off the table, then you have to go and get all those physicians to understand that it's as it were safe to go back in the water, right. But now it's safe for them to prescribe because it's not going to be an undue burden on the office. And then once they start doing that and they get the positive feedback loops which is one in fact they're not being overburdened with medical exceptions and number two the patients then come back which takes a few months right to come back to the office and give them positive reports on their experience with INBRIJA. Now there's a positive feedback loop where they are encouraged to prescribe for more and more of their patients. So all of that takes time, it’s a cycle. We recognize it upfront. The only thing that as Lauren said that was somewhat surprising to us was the degree to which the prescribers really have been conditioned at least in this space to just wait, just wait out just right out of the gate, they decide they're going to wait because they know it's going to be a burden and they're going to wait for you to address the managed care issues but other than that it's rolling out the way, we expected in terms of the process and the steps in the process.
Lauren Sabella: And I'll just add one other thing. In the first quarter, we had mentioned that 21% of those top physicians had put pen to paper and now we're up to 37%. So we are chipping away even though they're waiting for access, they're starting to write. So it's important we watch that metric very, very carefully.
Salveen Richter: Thank you.
Operator: Your next question is from Phil Nadeau with Cowen and Company. Your line is open.
Phil Nadeau: Good afternoon, thanks for taking my questions. First an insurance access in the answer to the prior question. You suggested that it's less than 50% of covered lives have access today. Could you give us some quantification of what proportion of the high segment patients do have insurance access today and where you think that could be by the end of the year?
Lauren Sabella: Yes, unfortunately it doesn't get segmented that way. The way that this works is that it's basically the number of insured lives by plan and then based on how you get formulary access, you make that determination. So we don't have an ability to get into that level of segmentation in terms of lives covered.
Phil Nadeau: How much is generally proportion of lives covered for access?
Ron Cohen: Just by way of reminder, we now have good access for about 51% of the commercial lives and it's about 18% on Medicare Part D based on the discussions we're having with some of the remaining major payers now. We believe that's going to open up in the near future that we will be making significant inroads there in the near future.
Phil Nadeau: Perfect, that’s helpful. And on the free drug program, how does the free trial program differ from the free samples. And what's the duration of INBRIJA free product that that both give the patients?
Lauren Sabella: Okay. So the sample program is actually a sample that gets shipped directly to the physicians office and that is 16 doses per carton. And so the physician has the opportunity to actually give that out to the patient after they've trained them in the office or one of the things that we're hearing that we think is fantastic is they're having patients come in an OFF state and they're training them on the inhaler and administering the actual INBRIJA sample right then and there. And the physician is watching the impact of the drug on the patient and some of the stories we've heard have been actually quite remarkable. So that's really been exciting to hear. So that's the one type of sample. What we've done also again partly to mitigate the issue with the time to fill of the prescriptions is we've rolled out the free trial program. What this is an ability for commercial only patients because this is not allowed in the Medicare Part D space to be able to on the same prescription form as their -- as the doctor’s filling out, all he has to do is check the box and if he checks that box the patient gets from a different specialty pharmacy that's not counted in the IQVIA data, a 60 carton, a 60 dose carton excuse me I'm sorry it's a 30 dose, 30 doses, 60 capsule carton of INBRIJA. And they have that in hand now while the insurance process is taking place. So the doctors like this because if they train the patients, they talk to them about the drug, the patient gets the drug within a couple of days and they think that makes a big difference versus they talk to the patient about the drug, they train them and even though we give them additional training information with videos et cetera. When the patient has to wait 30 days before they get the medication, it can be an issue. So we shorten the time to fill. But even beyond that, we've given out this free trial program to augment the ability for the patient, physician to trial the medication.
Ron Cohen: Right. And just to make sure that we re-emphasize. So we started out with 30 day, a 30 day process. We've gotten that down to 13 days at this point and we expect we're going to whittle it down even further which is pretty much what we did with AMPYRA.
Phil Nadeau: Perfect. Thanks for taking my questions. That's very helpful.
Operator: Your next question is from Michael Yee with Jefferies. Your line is open.
Michael Yee: Hey guys, thanks for the question. Congrats on the progress. Two questions one I guess is any clarity you can talk to regarding trying to convert your interpretation of what the third-party data is showing versus I guess reported sales and whether or not you think it's fairly accurate. I think maybe you've made a comment about that before Ron and then related to that any estimate on what you think gross to net is looking at? And I had a follow-up.
Lauren Sabella: So we're not discussing gross to net, what I can tell you is right now the IQVIA data is tracking very closely to our internal metrics. What may change over time is as more channels come on board for INBRIJA such as VA, that may change that dynamic. But for right now, it's pretty much in line with our internal numbers.
Michael Yee: Okay, that's helpful. And then a separate question I think for Ron is much more bigger picture and I think if you take a step back, I think given where the current stock prices Ron, I think a lot of the questions are certainly around the launch which I'm sure you're getting that sense from all these questions but I think other questions relate to capital structure and balance sheet and cash burn and all of that which we need to model out and debt. Can you make a comment as to your confidence level regarding no plans at all to finance certainly through the capital markets or equity markets. And to what extent you feel confident that there's no need to raise capital or that you can get capital through other forms of non-dilutive financing? Thanks so much.
Ron Cohen: So yes we have the debt, $345 million convertible debt that's due I believe in June of 2021. So it's about two years from now. We're obviously well aware of it and we're already in the planning stages for various ways that we can address that and we will address that in due course. With respect to cash, as I mentioned in the presentation we are keeping a very close eye on expenses. We always do but even more and making sure that we're making every dollar count. And based on our long-term projections for INBRIJA and the launch and where we believe it's going to go and to a certain extent obviously to AMPYRA which is doing better than we had thought. We believe that we can maintain cash flow or we can get to cash flow positivity based on those projections for INBRIJA, so that we would not need to raise cash in order to get to that cash flow positive inflection point on INBRIJA.
Michael Yee: Okay. And sorry for the one last follow-up but you made a comment about how AMPYRA definitely is doing better. That was certainly a huge positive swing factor in the quarter. So that's great. I mean is there anything to say as to what happened there, I mean I think it is model is actually up quarter-over-quarter, but I'm just surprised pleasantly that the sales are still so well in despite of many generics, is something going on there that we're not appreciating or what?
Ron Cohen: I can't comment on what you’re appreciating or not. Our view is that we spent a good number of years launching and maintaining that product and building the brand value. And I if I had to boil it down, I would say we cared about the patient, we cared about the community, we supported that entire community and the patients to a very high degree as we went through that selling process for INBRIJA or excuse me as we marketed AMPYRA and there is residual brand loyalty from that, people came to trust the brand to believe that it was doing good things for the patients. And I think we're benefiting from that on an ongoing way.
Michael Yee: Okay. Thanks so much.
Operator: Your next question is from Charles Duncan with Cantor. Your line is open.
Charles Duncan: Hi guys. Thanks for taking the question and congrats on the albeit early traction that you're seeing with INBRIJA. Had a quick question probably for Lauren regarding formulary access yet this year versus we've heard a little bit of some of the companies wondering about the impact of seasonality and those seem to be counter prevailing kind of issues. I'm wondering if those are two things that you're considering and what their impact may be in your thoughts on continuing to get traction over the course of the rest of the year?
Ron Cohen: Hey Charles, can you clarify just a little bit what you mean by the seasonality versus crosscurrents with what?
Charles Duncan: With formulary access additions. I mean that would seem to be a positive and would trigger more prescribing because of the access but seasonality being third quarter people going on vacations et cetera, are those big impacts for that relative to formulary access?
Lauren Sabella: Yes, again it's really hard to determine from a seasonality perspective whether there's any impact when you're this early in the launch trajectory and we're just getting a major managed care wins in place now. So I think that would be hard to say, I will say that the fourth quarter we will have more managed care formularies in place and we do anticipate that we should see an uptick in the trajectory of the brand.
Ron Cohen: Yes and I’ll just add, I agree and based on our prior experience and obviously observations across product categories, this summer months do tend to have some slack in them because patients go on vacations and the doctors go on vacations among other things. It's too early for us to say for this particular launch because we're in a launch phase. I think if we were talking about AMPYRA or another drug that had been out there for a few years and you could establish a year-over-year season over season pattern which we did with AMPYRA, we could comment more in a more informed way. But you do have all these crosscurrents going where it's a launch, we were getting on formularies. It is the summer months. We don't know in a launch scenario, how much of an influence that has or not. I think what we can say is as Lauren pointed out, by the time we get out of the summer which is you're getting into September and beyond. All of that will work its way through, right. So we expect that we're going to be on our way to having significantly more formulary access and we'll be done with the summer season, so we won't be asking the question.
Charles Duncan: Right. Maybe it'd be helpful if more sell-siders and investors went on vacation as well. Quick follow-up, they could recharge and rethink. But quick follow-up to that. Regarding the ex-U.S. partnering efforts, I know that it takes two to tango. But when you think about European partners versus Japan partners, would it be your preference to have a couple of different partners and would you anticipate that prior to launch or excuse me prior to approval or after approval?
Ron Cohen: Are you talking about a couple of different partners separate for Japan and EU or a couple of partners for the EU, Charles?
Charles Duncan: Really separate for the two different geographies.
Ron Cohen: Yes, you have to explore the market and see what where the interest is coming from and what the nature of it is and what the value that's being placed on it. So I don't know that we're being doctrinaire about it. If we have a deal that we like that encompasses both from one party, there's nothing that says we wouldn't take that versus doing two separate parties and we're having conversations across the board.
Charles Duncan: Okay, thanks for the added color. Congrats on the early progress.
Ron Cohen: Thanks.
Operator: Your next question comes from Raghuram Selvaraju with H.C. Wainwright & Co. Your line is open.
Edward Marks: Good afternoon, this is Edward on for Ram. Appreciate taking the questions. And just looking at dalfampridine, I’m just wondering how many generics are on the market now. And then if you're looking at any inventory buy downs going forward, I know you mentioned that in your last call as well and whether you've worked through the majority of the inventory, you’ve purchased that you previously had mentioned on the last call?
Ron Cohen: I believe there are four generics on the market. Is that right? It’s four and then we have an authorized generic with Mylan, so that’s five total including the authorized generic. And Dave you want to talk about the inventory?
David Lawrence: Yes, sure. So we are working through the inventory. I think we -- our statement last quarter was that we wouldn't be ordering anymore in 2019 and that still holds but we are going through the inventory faster than expected.
Edward Marks: Okay, excellent. And then just one follow-up on INBRIJA. I know you talked a lot about, a lot of your physicians waiting to build access and there seems to be a lot of the headwind that you're currently seeing at least early on in this launch but just from a scientific perspective, I was wondering if there's any concerns around physicians using INBRIJA and wondering whether this would accelerate the timeline to the carbidopa/levodopa non responsive status in these patients?
Ron Cohen: So there is a myth, a mythology that has grown up in the field and it dates back for historical reasons because L-dopa has been around since the 60s. With that said that if you give L-dopa chronically that it actually accelerates the degeneration in the brain and that it accelerates or compresses the time course to severity of the disease. This has been debunked in one paper after another and actually there were a couple of papers recently where they pretty much put the nail in the coffin of the whole thing. I believe there was an editorial in JAMA that summarized all that. So it's just definitively not true. However there are certain neurologists who grew up in that era who absorb that mythology and who retain some of that. So for those docs fortunately certainly with the sort of at the more recent generations of doctors and the MD and the movement disorder specialists are not nearly as prone to that. But when we encounter it, we have the papers and we have the scientific literature to back it up and we go through that education process. So and by the way, it's something that some patients have heard as well and have absorbed and get concerned about. So there's -- I wouldn't call it a major theme. It's a minor theme and it's one of the themes that you deal with in the launch and you educate through it.
Edward Marks: Perfect, I appreciate all the details. Thanks for taking my questions.
Operator: Your next question comes from Jay Olson with Oppenheimer. Your line is open.
Unidentified Analyst: Hey this is Matt on for Jay. We were wondering if any recent events impacted your view of the INBRIJA market opportunity such as the recent failure of XR formulation for Levodopa or maybe Neurocrine’s recent NDA filing for Opicapone. Appreciate any color there. Thanks.
Ron Cohen: Yes, no not at all. Those events are not related to the opportunity for INBRIJA and the reason is that INBRIJA is an on-demand therapy, it is an adjunct to anything that the patient is taking as chronic maintenance therapy. So 70% or more of patients are taking levodopa, carbidopa of some kind and then a number of them depending on severity and how many OFF periods they're having and so on will have additional drugs with other mechanisms added whether it's a COMT or MAOI or sometimes a dopamine agonist. The most severe patients wind up sometimes taking two, three or more different drugs in an effort to compensate and of course they wind up very often with the adverse events that are associated with drug-drug interactions and poly pharmacy. So you wind up increasingly having a very frustrating challenge, if you are the physician trying to balance out getting control of the symptoms most of the day or all of the day against the side effects including overdoing it and giving the patient dyskinesia which is involuntary motions that can be extremely disruptive. So INBRIJA if you think about it actually fits very nicely into this whole paradigm because one of the major issues for this disease is that giving drugs through the gut is not an ideal situation. The gut in Parkinson's is compromised. It's slowed down, absorption is not great. Some of the drugs notably L-dopa itself are not really very well absorbed in the gut and they're susceptible to food effects, so you put it all together and yes L-dopa is a great drug when it gets in. But as you go through time with the disease, it gets in less and less predictably. So whatever they're taking whether it's L-dopa plus Opicapone or Entacapone or any of the other drugs that are available. If they are having breakthrough OFF periods, there is still candidates for INBRIJA and that is the messaging that goes out there.
Unidentified Analyst: Got it. That's really helpful, thank you. And then just one more quick one if I may if there's any anecdotal feedback that you would mind telling us that you're seeing some patients or caregivers just on the user friendliness of the INBRIJA device like the instructional video, educational patient support that you're providing anything there would be great. Thank you so much.
Ron Cohen: So I'll start and then I’ll turn it to Lauren. We're getting rave reviews on the materials that we are providing the video as well is a huge hit. Some doctors have asked for more of them, so they can have him in the office and so on and the patients all get them when they get a prescription. In terms of user friendliness, we're getting pretty much what we saw in the clinical trials which is in the entire clinical program just going to ask reminding how many out of 900 plus, how many dropped out because they couldn't use it two, two patients out of over 900 dropped out of the trials because they couldn't use it. And we're not hearing significant issues with user-friendliness or the ability to use it. So that tracks the clinical trials. In terms of anecdote, well with the understanding that anecdote is anecdote, we're hearing remarkable stories coming from the field and they're really gratifying from some of it, I can't repeat, I have to stay on label. But we're hearing from patients some phenomenal stories about how this has helped them in a way that nothing else has. And Lauren?
Lauren Sabella: Yes and I'll go back to what I had mentioned earlier, the fact that the samples are in the office. Some of these stories that we're hearing are actually from the doctors where they're sitting there and watching the patient turn back on in front of their eyes. That's something you just don't see with most medications in the market. So that's having a major impact as well.
Unidentified Analyst: Got it. Thank you so much for the time.
Operator: This concludes the Q&A period for today's call. I'll now turn things back over to the presenters for any closing remarks.
Ron Cohen: All right, well thank you for joining us everyone and we look forward to updating you next quarter. Have a great weekend.
Lauren Sabella: Thank you.
Operator: This concludes today's conference call. You may now disconnect.